Operator: Good morning. My name is Leah and I will be your conference operator today. At this time I would like to everyone to the Core Lab Q4 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Thank you, David Demshur, you may begin your conference.
David Demshur: Thanks Leah. Greetings and good morning in North America, good afternoon in Europe, and good evening in Asia Pacific. We would like to welcome all of our shareholders, analysts, and most importantly, our employees to Core Laboratories fourth quarter 2011 earnings conference call. This morning as usual I am joined by Dick Bergmark, Core’s Executive Vice President and CFO. Also this morning we are again joined by Core’s COO Monty Davis who will present the detailed operational review. The call would be divided into five segments. Dick will start by making remarks regarding forward-looking statements and will come back and give a brief investor update and highlight the three financial tenets by which Core’s executive management executes the company’s growth strategies. We believe these three tenets have produced industry leading shareholder returns and returns on investment capital. We will also discuss Core’s long health philosophy of returning excess capital back to our shareholders. Then Dick will follow with a detailed financial overview and additional comments regarding building shareholder value and Core’s first quarter and full year 2012 revenue and earnings guidance which confirm our confidence in the trends increasing of increasing activities in an unconventional oil reservoirs in North and South America and especially international and deep water activities tied to crude oil developments. Then Monty will go over the Core’s three operating segments detailing our progress and discussing the continued successful introduction of new Core Lab technologies and services, and then highlighting some of Core’s operations and major projects. Then we will open the phones for a Q&A session. We will turn it back to Dick now for comments regarding forward-looking statements. Dick?
Richard Bergmark: Before we start the conference this morning I’ll mention that some of the statements that we make during this call may include projections, estimates, and other forward-looking information. This would include any discussion of the company’s business outlook. These types of forward-looking statements are subject to a number of risks and uncertainties relating to the oil and gas industry, business conditions, international markets, international political climate, and other factors including those discussed in our ’34 Act filings that may affect our outcome. Should one or more of these risks or uncertainties materialize or should any of our assumptions prove incorrect actual results may vary in material respects from those projected in the forward-looking statements. We undertake no obligation of publicly update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. For more detailed discussion of some of the foregoing risks and uncertainties see item 1A risk factors in our annual report on Form 10K for the fiscal year ended December 31, 2010, as well as the other reports in registration statements filed by us with the SEC. Our comments include non-GAAP financial measures, reconciliation to the most directly comparable GAAP financial measures is included in the press release announcing the fourth quarter results and which also can be found on our website. With that I’ll pass the discussion back to Dave.
David Demshur: Okay, thanks Dick, a quick investor update. Core’s operations produced another record quarter and full year as the company continued to benefit from our continued focus on and the increase in international and deepwater offshore activities and the increase in activities in unconventional oil plays in response the higher oil prices and dwindling global oil spare capacity. The focus on crude oil related projects continue to build through 2011 as we discussed the projected decrease in natural gas rig count on our conference calls during the first quarter, second quarter, and third quarter of 2011. Therefore, Core’s revenue mix is now closer to 80% oil and 20% natural gas, a shift from the previous 70-30 mix. Moreover, most of the natural gas related activity emanates from international projects in the international theater. This would be the Eastern Mediterranean, Eastern Africa, and Western Australia. Also, when we look at our operations Core’s reservoir description results reflected this trend away from natural gas and the positive increases in both international and deepwater activities tied to crude oil developments. Also our fourth quarter 2011 results were bolstered by North American activity levels in oil shale reservoirs which drove incremental margins for our production enhancement unit. Finally, reservoir management posted another strong quarter reflecting additional oil company support for its worldwide joint industry projects in oil shale reservoirs and international activities of interest like West Africa. Our growth strategies and the execution by our operating units continue to serve our clients, our employees and our shareholders well. Core’s continued focus on international crude oil related developments, especially those in deepwater environments, unconventional oil resource plays and the continued internal development of new technologies and services, has led to a multiple year of sustained growth and increased profitability. Core has always followed and will continue to follow three key investment tenets that have led to industry-leading returns. These three tenets which we feel are most important and usually receive only scanned attention in our oilfield services sector are number one, maximizing free cash flow through fiscal discipline. Core follows a strict discipline for allocating capital for investment in growing our business, unless certain return on invested capital standards are met or exceeded the capital expenditure is disallowed. Potential acquisition opportunities must pass the same high standards. This discipline produced a free cash flow for 2011 of approximately $172 million, nearly equaling our net income for the year. As we’ve often said, net income is a good proxy for Core Labs free cash flow. In fact Core converted about one every five revenue dollars in the free cash flow during the year. Core will continue to demonstrate strict fiscal discipline in 2012 and beyond. The second financial tenet is to maximize our return on invested capital. Core’s Board has initiated an incentive compensation program for Core’s executive and senior management teams based on the company being able to produce an ROIC in the top decile for all oilfield service industry. Core’s Board believes that stock price performance over time is directly related to this return on invested capital. Based on yearend calculations available from Bloomberg, Core’s return on invested capital was approximately 36 percentage points higher than the oilfield services group peer average listed by Bloomberg and also 32 percentage points above the Core’s weighted average cost of capital. Core is fortunate and values its long-term relationship with our top shareholders as the company’s top 10 holders own approximately 50% of our outstanding shares with an approximate $57 ownership basis. Some of this ownership dates back to 1998. Our top 20 holders own approximately 66% of the company’s outstanding shares with an approximate investment basis of around $63 for a share. You can see we have long term shareholders owning about two-thirds of all shares outstanding. To these shareholders we have returned excess capital which is our third financial tenet. During 2011 Core returned over $327 million to our shareholders in the forms of quarterly dividends and the repurchase of shares and settlements of warrants representing approximately three million shares, a sum that equaled about 5% of the company’s outstanding shares. The shares and warrants were aggressively and opportunistically purchased at around $93 per share level. For all of 2011, Core returned approximately $6.76 back to our shareholders. Since 2002, Core has returned over 1.2 billion or almost $24 per diluted share to our owners. We will continue to follow these three investment tenets into 2012, which should enable Core to continue to produce industry leading returns for all of our shareholders. Now, I will turn it back over to Dick for a detailed financial review.
Richard Bergmark: Okay, thank you David. Over at the income statement. Revenues were $243.8 million in the fourth quarter versus $231.3 million in the prior quarter and $208.2 million in the fourth quarter of last year. So, revenues were up sequentially by 5.4% and 17.1% year-over-year. So, for the full year revenues were $907.6 million up $112.9 million or 14.2% from the prior year of $794.7 million. Of these revenues services for the quarter were a $162.9 million and for the year they were $621.8 million. Product sales for the quarter were $80.9 million and for the full year they were $285.8 million. Cost of services in the quarter were 62% which was better than the 63% of revenue in 2010 and 64% for all of 2011. In the fourth quarter our cost of product sales were 67% of sales revenue, which is an improvement compared to all of 2011 and 2010 when they were 69%. G&A for the quarter $10.7 million down sequentially from $11.2 million but up from $9 million in last year’s fourth quarter. For the year 2011 G&A was $41.1 million representing 4.5% of revenues for the full year. Our G&A was 4.2% of revenues in the prior year. We expect G&A to be around $42 million in 2012 or 4.2% midpoint of expected revenues. Depreciation and amortization for the quarter of $5.9 million, up slightly from $5.8 million incurred in last year’s fourth quarter, for the full year 2011 depreciation and amortization expense was $23.3 million and we expect depreciation and amortization in 2012 to total approximately $24 million. Other losses in the quarter was $257,000 for the year, other was $919,000 of income compared to $2.2 million of other income in the prior year. EBIT for the quarter was $72.9 million which was up $11.3 million or 18.4% year-over-year. Our fourth quarter EBIT represents margins of 30%, a quarterly high for the company. Interest expense was $2.2 million for the quarter compared to $3.7 million in the last year’s fourth quarter. Our exchangeable notes were repaid during the fourth quarter and have been replaced by our $150 million senior notes which do attract a lower interest expense than the exchangeable notes. Income tax expense in the quarter was $17.4 million at an effective tax rate of 24.6%. Our full year annual effective tax rate was 22.7% and our tax expense was $54.2 million. We expect our effective tax rate in 2012 to be in 25% range. Net income for the quarter was $53.1 million compared to $39.9 million in the last year’s fourth quarter. Net income in the fourth quarter increased almost 33% on a year-over-year basis. Net income for the full year 2011 was up over 27% at a $184.7 million compared to a $144.9 million for 2010. Earnings per diluted share for the quarter was $1.11. Excluding the impact of the $0.01 in FX loss and a $0.03 pick up from the lower effective tax rate our operations during the $1.09 per share in the fourth quarter which exceeded our prior guidance at $1.06 to $1.08 per year. Sequentially, EPS for a $1.11 is up from $0.93 and is up 37% from $0.81 last year in the fourth quarter. For the full year EPS was $3.82, up 27% compared to $3 in 2010. Now if we go over to the balance sheet, cash was $29.3 million compared to the prior yearend balance of a $133.9 million. So, our liquidity as represented by our cash balances are free cash flow and drawings from our credit facility and the new senior notes amounted to $531 million and reused primarily to repurchase stock, pay our dividend, fund the repayment of the exchangeable notes, settle our warrants and pay for a small acquisition. Receivables stood at a $170.8 million up from a $154.7 million at the prior year end due to higher sales, and importantly though our DSOs continue to improve to 68 days for the year compared to 70 days in 2010. Inventory is virtually unchanged from the last quarter’s $52.5 million, but it is up from $34 million at year end 2010 as a result of our acquisition at the end of Q3 and sourcing of raw materials in the prior quarter due to the supplier disruption discussed on our prior calls this past year. Importantly though, inventory turns improved sequentially from Q3 and the Q4, and for the most part raw materials, but not finished goods, increased in furtherance of our growth prospects for product sales. Other current assets were $22.8 million down from $26.7 million at last year end due to a reduction in current deferred tax assets. We had 11.1 million increase from last year PP&E due to investment in our business assets and the acquisition at the end of Q3. Our intangibles goodwill and other long term assets were up $21 million mainly from an acquisition in the production enhancement segment and an increase in deferred tax assets. Now, on the liability side of the balance sheet our accounts payable were $57.6 million up from the prior yearend balance of $44.7 as a result of growth experienced in our business in 2011. As our exchangeable notes were paid off during 2011, our short term debt is now down to $2.3 million. Other current liabilities of $72.8 million are down $14.3 million from the prior yearend balance in part to the decrease for taxes accrued but not yet paid fully in various jurisdictions. Our long term debt at year end was $223 million comprised of our new senior notes at a $150 million as well as our bank revolving credit facility whose outstanding balance was $73 million at year end. Other long term liabilities ended the year at $57.4 million up slightly from the yearend balance. We no longer record an equity component of senior exchangeable notes as the exchangeable notes were repaid in the quarter. Shareholder’s equity ended the year at a $181.7 million down from the prior yearend balance of $292.3 million primarily due to addition from earnings offset by the warrant settlements, share repurchases, and dividends. Our return on equity for the year was approximately 102%, and this is certainly one of the highest returns earned in the industry. Capital expenditures for the quarter were $11.8 million and for the full year they were $30 million, up from $27.6 million in the prior year as we addressed opportunities created by the strong growth in our business in 2011. We expect our CapEx program in 2012 to be approximately $33 million as a result of an expected continued improvement in industry activity particularly internationally and in the deep water environment. Our growth CapEx is client directed for the most part, meaning that we will increase our capacity for locations or for increases in technology on the basis of discussions with clients about their specific needs which is one reason why we are able to generate our high returns on invested capital. So when our CapEx increases in positive business cycles, it usually reflects upcoming demand for our services. Now, looking at cash flow; cash from operating activities in the quarter was $57.3 million, and after paying for that $11.8 million in CapEx, our free cash flow was $45.6 million. For the full year, cash flow from operating activities was $204.1 million while free cash flow after paying for our CapEx program was about $174 million. For the full year 2011, we used our free cash flow to pay $21 million for an acquisition, paid $46 million in quarterly dividends, repurchased almost $62 million of our shares, and repaid the exchangeable notes for $156 million and to early settle our warrants in the amount of $219 million. Our use of cash continues to be designed to enhance shareholder value. Now, if we look at our outlook for 2012, we expect increasing international growth especially in deepwater projects supported by the scheduled arrivals of additional deepwater rigs, deepwater pre-salt activities in several international basins, such as the Kwanza Basin offshore Angola, should increase significantly throughout 2012. In addition we believe we should benefit from increasing activities in the deepwater Gulf of Mexico which is projected to approach early 2008 highs by late 2012. We should also benefit from increasing activities in unconventional oil shale reservoirs not only in North America but also South America particularly Argentina and North Africa. We expect to generate $200 million in revenue from primarily oil shale reservoirs in 2012. We assume that worldwide activity levels will increase by 10% and that our annual revenue growth is expected to be 13%. As a result of our outlook for the first quarter of 2012, we expect revenue of approximately $230 million to $240 million with EPF between a $1.01 and $1.06 where the midpoints of guidance represent an increase in revenue of approximately 14% and EPS growth of 35% over first quarter 2011 totals excluding year ago non-operational gains and charges. First quarter of 2012 operating margins are projected to be 29%, up approximately 200 basis points over year earlier totals. For the full year of 2012 we expect revenue of approximately $1.005 billion to $1.045 billion with EPS between $4.5 and $4.82. Using the midpoints of the yearly guidance, our annual revenue is expected to grow 13%, using an effective tax rate of 25% yields a midpoint EPS guidance of $4.66 a 23% increase over full year 2011 EPS excluding non-operational gains in charges. Full year 2012 operating margins are projected to be in the 30% range, an increase of approximately 100 basis points over full year 2011 levels. For 2012, we expect to generate over $200 million of free cash flow an all time high while increasing capital expenditures to an estimated $33 million. This capital program, the largest in our history is in response to anticipated strong client demand for our proprietary and patented technologies in 2012 and into 2013. Up to 80% of our 2012 capital program will address opportunities that are driven by increasing client activity levels primarily in international areas. We will maintain our strict ROIC standards when deploying 2012 capital with the goal remaining the industry leader for returns on invested capital. We also anticipate that we will continue opportunistic repurchases of shares throughout 2012. If worldwide activity levels increased more than anticipated 10% our results will trend towards the upper end of the 2012 revenue and EPS guidance. Conversely, if worldwide activity levels increased less than 10% our results will trend lower. This and future guidance excludes any foreign currency translations, changes in tax rate or any shares that we may repurchase. Now, with that I’ll turn the call over to Monty for an operational review.
Monty Davis: Thanks Dick. We ended our best year ever with our best quarter ever. Our 5000 employees around the globe have worked very hard to serve our clients and we thank them for making Core Lab the choice of oil and gas clients around the world. In Q4 revenue reached a record $244 million, growth of 17% over the fourth quarter of 2010. Operating earnings for Q4 grew 18% over the previous year and resulted in an operating margin of 30%. The reservoir description revenue grew 14% over Q4 2010 and operating earnings grew 23% over Q4 2010 with operating margins improving to 28%, 200 basis points over the same period last year. We are currently conducting flow visualization studies for our Latin American client to improve their flood performance in oil fields and heterogeneous reservoirs, the remaining our residual oil saturation can be quiet significant after primary or secondary production. The reservoir is only partially depleted and commercial quantities of oil can be bypassed because the reservoirs and fluid flow are complicated. Visualization of an experimental flood using Core Lab’s high resolution medical technology CT scanning provides insight on the impact of the reservoir heterogeneities and fluid displacement mechanisms. With this information and improved production strategy we can formulate it and test it to recover bypassed law through improved flood projects. Our MRShale technology which is based on magnetic resonance imaging is leading the industry to analyze very tight rock such as shale, in a faster timeframe with accurate results. This technology has been extremely well received by our customers to provide the information needed to produce these unconventional gas resources. MRShale uses magnetic resonance measurements of a core to determine porosity and liquid hydrocarbon saturation. The combinations of the company’s new digital core analysis technologies including CT imaging, MRShale and our Nano-Perm capabilities all of which are non-destructive to the core sample are aiding our clients to produce more oil every day from their non-conventional oil shale reservoir place. More importantly, ultimate hydrocarbon recovery practice will increase over time from a single digit and below double digit percentages. Production enhancement revenue grew 19% over Q4 2010 revenue levels, operating earnings grew 22% over the prior year quarter. Operating margins improved 100 basis points to 33% for the fourth quarter of 2011. Demand remains very high for Core’s HTD-Blast perforating gun systems used in completing the toe end of laterally extended horizontal wells. This technology is performing very well in long lateral horizontal wells drilled for liquids production in addition to good success in gas wells. Core’s high efficiency reservoir optimization HERO charges and SuperHERO and SuperHERO Plus charges continue to be the lion share of our perforating charges sold as our customer’s value this ultra-low debris perforating technology and the performance it brings to their wells. Our SpectraScan/Stim and SpectraChem, fracture diagnostic technologies are critical to determine the performance of fracture stimulization. These technologies are helping customers in the Eagle Ford and Bakken, designing the most efficient fracture stimulations. A customer in Colombia is currently using Core Lab’s SpectraFlood technology on a pilot project alternating water and gas to design a flood optimization program for an oil and gas reservoir. Reservoir management revenue grew 31% over Q4, 2010, with operating margins of 26%. Reservoir management initiated several new joint industry projects in the fourth quarter that had been well received. Our project entitled Utica Shale, reservoir characterization and production properties has 11 initial member companies and is focused on the Utica liquids play in the Eastern Ohio and Western Pennsylvania. Our study is focused on improving reservoir description stimulation and well performance for the member companies. Initial completion and production results in this play have been promising. Reservoir management also introduced a joint industry project in Canada focused on the emerging Duvernay Shale play. We have seven initial members and the first pilot wells and horizontal completions are being evaluated. The Duvernay has both gas and liquids production. Reservoir management second Atlantic margin transform study, Equatorial Basins of Brazil, it was initiated with five initial participants. Given the success of the transformed margin play of Ghana, Sierra Leone and more importantly French Guiana we expect further participants when the license round for deep acreage opens. Further to Core Lab’s extensive portfolio of African based geological and petro physical regional data sense a new study of the post-salt reservoirs of West Africa, Equatorial Guinea through Angola was initiated. This study is designed to aid deepwater players in the South Atlantic margin by establishing regional controls on reservoir development and regional seals within the study area. The study compliments Core Lab’s pre-salt reservoir study of West Africa. Further, capitalizing on our extensive database and expertise in shale reservoir evaluation, reservoir management has begun several proprietary projects in the Middle East directed at the evaluation of potential shale reservoirs. We will now open the call for questions.
David Demshur: Leah you can open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Rob MacKenzie.
Rob MacKenzie – FBR Capital Markets: Good morning, guys.
David Demshur: Good morning Rob.
Rob MacKenzie – FBR Capital Markets: Question for you, I guess David here. Reservoir management and the kind of multi-client studies you’ve done in there has historically been reasonably lumpy from quarter-to-quarter, but it seems like with the proliferation of unconventional plays around the globe and the studies you guys have kicked off that could be in for a period of some material growth here. Can you give us a feel for how bullish you are, and what you think the prospects are there for growth in that segment?
David Demshur: Yeah. If you look that segment, Rob, it indeed, on a revenue and earning side, grow faster than the worldwide activity because we are highlighting the world’s most active plays. So even though it just represents some 7% to 8% of our revenue, I think when we look at it from an annualized basis, because as you said, it can be lumpy, we can see growth prospects up in the low 20s on the revenue side for that business and it may approach the mid 20s, so, yes indeed because we are highlighting the active plays around the globe.
Rob MacKenzie – FBR Capital Markets: Great, and thank you. Coming back to your guidance for $200 million of oil shale revenue this year, can you give us a feel for what that was last year and perhaps the year before, if even anything?
David Demshur: Yeah. If we look at the year before, I would say that was probably in the $20 million to $30 million range. Now Rob, you got to remember what we’ve tried to do is de-emphasize gas shales and emphasize oil shales and so it might have been half that much last year, but as we have discussed on these calls, we – actually in the third quarter of 2009, remember the famous, why we didn’t have the shift, we were starting to de-emphasize at that time natural gas shales looking to enter oil based shales, and as you know, our technology is much more applicable in crude oil and crude oil situations as opposed to natural gas. So, we’ve had this de-emphasis of natural gas shales taking place over, I’d say the last year and a half, and then for instance we generate very little revenue, expected very little revenue out of the Haynesville Shale during the fourth quarter of 2011. So, I would – that has to be tampered by when total shales we talked about being maybe mid digits for total revenue that now is probably now at 20% with the vast majority of that being in the oil shales. So, materially, we have seen let's say the Shale revenue over the last couple of years year-over-year go up probably somewhere on the order of $40 million to $50 million over what it was last year. So last year was probably in the $1.40 to $1.50 range, with this coming year somewhere around $200 million, $200 million plus.
Rob MacKenzie – FBR Capital Markets: Okay, that’s very helpful David. And would – how was that split between the segments, I know you don’t really like to break that up, but roughly can you give us some feel there?
David Demshur: It’s really across all segments Rob. I don’t really have that, I don’t have those numbers available. But I would imagine that would be equal across all the three.
Rob MacKenzie – FBR Capital Markets: Okay, fair enough. And then coming to reservoir description. One of the things that – talked about all the causes that US Gulf of Mexico deepwater coming back, what I’d like to try and get some help from you on is how material is that to your potential earnings growth here if the ground deepwater activity returns to pre-Macondo levels like we expect by year end this year.
David Demshur: Yes, it represents somewhere on the order of about $30 million of our revenue, remember about 3%. So right now we’re probably at about 1%. So going into 2013, we probably get it ramped back up to that $30 million to $40 million range if activity reaches pre-moratorium levels and we actually think that in 2013 it will probably surpass that.
Rob MacKenzie – FBR Capital Markets: Okay, great. And then my final question probably for you Dick. On return of capital, with over – expected to generate over $200 million of free cash flow this year net of the CapEx, your dividend is only a small fraction of that. How do you see your share repurchases or other returns of capital to shareholders proceeding this year?
Richard Bergmark: I think we made it pretty clear on our prepared remarks and in the earnings release that we will be opportunistic as we always have, and certainly the level of free cash that we have available to us after our investment program suggest that we could also be very aggressive with that.
Rob MacKenzie – FBR Capital Markets: Okay, thanks very much. I’ll turn it back.
Operator: Your next question comes from the line of James West.
James West – Barclays Capital: Hi, good morning guys.
David Demshur: Good morning James.
James West – Barclays Capital: As we think production enhancement in 2012 if kind of the consensus thinking of flattish rig count is right, what kind of revenue growth would you see in that segment as you would push more into oil plays, as you penetrate more with your newer technologies. What would you guys expect in terms of revenue growth?
David Demshur: They are thinking James around 15% for production enhancement, maybe more. You got to remember US rig count is one thing, international penetration is another driving factor in what we are doing.
James West – Barclays Capital: Sure.
David Demshur: Our technologies are very well received as I stated earlier, and we’re seeing really strong growth in those technologies as we saw this year.
James West – Barclays Capital: Is that the international portion of production enhancement, is that still 40ish percent?
David Demshur: It’s more like 30%.
James West – Barclays Capital: Okay.
David Demshur: We are pretty strong in North America too you have to remember.
James West – Barclays Capital: Right, right. And then related to North America, some of the big pressure pumping companies that had margin issues as this transition has unfolded, it seems like given the way you sell your products and get your products to market that shouldn’t be an issue. But I just wanted to make sure that we’re not – we shouldn’t expect some type of transition costs that would sharpen your margins in the near term in your PE business?
David Demshur: We don’t see the same things they do James. We sell on the value of the product all along. We’re not in a restrained commodity mode versus excess commodity mode that you might see in the pressure pumping from time to time and drilling from time to time. We’re selling products based on the value they deliver to the clients. And so, we’re not up and down like they are.
James West – Barclays Capital: Okay, fair enough. And then, Dick, the tax rate has come down pretty substantially over the last four quarters. Two questions, one, how do we get to this 25% range, is that some restructuring or is this just the revenue mix? And then two, can we actually pump down lower than 25% over time?
Richard Bergmark: Yeah, we are thinking the revenue mix is the primary driver for that, but it depends on where your earnings are, and we think the rate that we see in Q4 is indicative of full year, and certainly thin 48 create some volatility from time to time, and that's generally out of the control of companies. But we think over time – that rate right now it’s at 25%.
James West – Barclays Capital: Okay, great. Thanks guys.
David Demshur: Okay, James.
Operator: Your next question comes from the line of Veny Aleksandrov.
Veny Aleksandrov – Pritchard Capital Partners: Good morning guys.
David Demshur: Good morning Veny.
Veny Aleksandrov – Pritchard Capital Partners: My first question is again on your guidance, and without giving the specific numbers how much of your budgeted growth is coming from international and how much is coming from domestically roughly?
David Demshur: Yeah, I would say probably out of that growth area we say that we look at activity levels being up worldwide about 10%. We see the majority of that growth being internationally maybe 10% to 13%, and a flattish rig town here in the U.S., but in saying that because oil related activities here are more service intensive, you probably you are going to get somewhere near high single digits growth level to get you to that when you average that out to about 10%.
Veny Aleksandrov – Pritchard Capital Partners: Thank you. My next question is on your CapEx budget for next year. The 33 million, is this all going for organic growth or do you have any other plans?
Richard Bergmark: Yeah Veny, on our CapEx, one-third is to replace instrumentation that gets the whole clearly, but two-third is for growth and that’s why our comment about that growth is really client directed, and that’s why we are able to generate pretty high returns on that invested capital. If the clients as the year progresses suggest that there are other additional revenue opportunities for us we will spend that capital because it will also generate high returns for us.
Veny Aleksandrov – Pritchard Capital Partners: Thank you so much.
David Demshur: Okay Veny.
Operator: Your next question comes from the line of Blake Hutchinson.
Blake Hutchinson – Howard Weil, Inc.: Good morning guys.
David Demshur: Good morning Blake.
Blake Hutchinson – Howard Weil, Inc.: First of all again probing kind of earning guidance as it applies to the reservoir description business. I mean I think if you look at both top line and margins for 4Q, and I guess it would suggests given that that segment is prone to seasonality, should we be thinking that first half of the year perhaps is kind of a flat year-over-year trajectory with getting back to kind of the double digit growth in the back half of the year and we see kind of the same fit and then start again in terms of margin progression.
Richard Bergmark: Yeah, you see traditional seasonality with Q1 being the lower than the previous Q4 and that’s a historical, and you are right you tend to see that more in the reservoir description. What we’ve seen in the last few years was production enhancement activity levels caring through that mask that reservoir description softness in Q1. So, for the guidance that we put together it assumes a more traditional seasonal pattern.
David Demshur: Yes, Blake, but I want to go back and make sure we understand this question. Are you saying flat from a margin standpoint or flat from a revenue standpoint?
Blake Hutchinson – Howard Weil, Inc.: Well, I guess I look at your 4Q margin and essentially the guidance for the year ends up being kind of flat from a margin perspective with 4Q and I'm just wondering is that because the reservoir description has to experience a fairly significant retreat for first half of the year before growth accelerates and you start to – I had made – perhaps to gain a level of confidence around higher margins and higher increments year-over-year.
David Demshur: Yeah, because if you look last year first quarter their margins were somewhere on the order up 26%. So, when you look at that I would say yes, for the first half of the year I would say, okay, we are a little bit flattish on that maybe down a little bit, but then that business is typically strongest margins in Q3 and Q4.
Blake Hutchinson – Howard Weil, Inc.: Okay, great. That’s exactly I was looking for.
David Demshur: I like that in your model.
Blake Hutchinson – Howard Weil, Inc.: Yep, good. And then I think from looking at your kind of press release commentary and Monty’s commentary about the digital core analysis, I was trying to understand as it apply for the business, is this saying that many of your competitors have been out there claiming that they can do kind of use rapid turn well site analysis. Is this saying that that’s – it’s gotten to a point where you’ve got a product, it’s an extremely high quality product now that’s rapid turn that also meets your margin hurdles that kind of competes with that, trumps that, and opens up a new market or is that rating key margin kind of a commentary.
David Demshur: Yeah, I think that’s been a little bit – yeah I think it’s really a little too much into that. When we look at generating data sets we have to generate precise and accurate data sets. Over the 30 some years that I have been here at Core Laboratories we have attempted to do that at the well site probably three or four times or iterations of that. It always gets back to those data sets, have to be generated in a laboratory controlled environment. So, as opposed to giving estimates at the rig or doing core analysis at the rig site, our clients expect a higher level of precision and accuracy from us. So, when we develop these technologies they are made for the laboratory environment. So, yes, do we provide core analysis and some reservoir analyses at the well bore, yes. But very elementary, very low tech. We need to bring them back to our laboratory to ensure that the data quality for what our clients expect from us is always there.
Blake Hutchinson – Howard Weil, Inc.: Great, so this is kind of an enhancement to product rather than making another run at the well site here.
David Demshur: Yeah, absolutely. If you look at our Nano-Perm, we announced that about a year ago, this is the first step in what we think will be the direction of looking at admissible gas flood in oil shales. We’re several years away from that but it was a technology that was the first step for development of that. Now we can combine that with our MRShale and our CTShale and we get an enhanced product where we can look at digital imagery and calibrate that to algorithms used to determine what the porosity might be in that rock that has just been imaged. It’s impossible to determine what the permeability of a rock is through imagery. You are just guessing to what that would be because you don’t know the extent of the interconnectivity of the pore spaces.
Monty Davis: Hey Blake, one other thing. Remember that our datasets are used for different purpose than some of those who have been talking about having mud logging capabilities or well frac capabilities. Their datasets tend to be used for decisions at the rig site, do I complete or not. Our datasets are not used for that.
Blake Hutchinson – Howard Weil, Inc.: Sure.
Monty Davis: Our datasets are used for developing field floods, longer term projects where accurate measured data is required. The applications of the technologies are for different purposes and we are not in the surface logging, mud logging business and have no intentions to do it.
Blake Hutchinson – Howard Weil, Inc.: Great, appreciate the depth of the answer on that guys and I’ll turn it back.
David Demshur: Okay, Blake.
Operator: [Operator Instructions] Your next question comes from the line of John Daniels.
John Daniels – Simmons & Company: Hi guys, Dave on the $200 million in oil shale revenue, can you just give us any sense as to what is domestic versus international?
David Demshur: The lion’s share is going to be probably 90% of that being in North America, because as Monty talked about we have the Duvernay and parts of the Montney that probably are going to be liquid rich. So we’re doing quite a bit of work on that. And so North America, probably upwards of 80% pushing 90%, but in saying that we have rock in-house now from Vaca Muerta down in the Neuquén Basin. We have rock in-house from North Africa, the Silurian and Gothrandian [ph] Shale that we talked about. We also have proprietary studies in-house from some of the countries that Monty mentioned in the Middle East and also from China. So, although this is a very North American centric look right now, John, we see that progressing out. As we’ve talked about in previous conference calls, certainly we think the Neuquén Basin maybe not only just the Vaca Muerta but there are some other Los Monos shales there that might be interesting. Of course in North Africa that we mentioned in last year’s annual report, the Middle East and China, and also there are some potential in Australia. So this will become much more international in scope as we go forward.
John Daniels – Simmons & Company: Is there any material difference in the margins between the main work and international?
David Demshur: No, exact same price schedule, exact same – globally same prices, same margins.
John Daniels – Simmons & Company: I want to follow-up on Blake’s question with respect to the guidance, I understand the Q1 seasonality on the revenue, but should we look at the flat to down revenue guidance as any possible suggestion that your initial view on worldwide activity growth is below 10% or off to a slow start?
David Demshur: No, none whatsoever.
John Daniels – Simmons & Company: Fair enough. Also on the pricing for your services working on [indiscernible] pressure is building for other product lines, are any of your businesses starting to face pricing headwinds at this point?
David Demshur: No, as we said earlier, we value price all along, so we are not going and do those same pressures that they do in other services. We’re holding our prices with the reasonable increases.
John Daniels – Simmons & Company: Okay. And then the last one from me is on the buyback, so Dick, when you guys do this, can you say – it is set up based off of sort of a price grid, that you buy more and stock declines or can you just elaborate a little bit on the opportunistic.
Richard Bergmark: Yeah, it’s opportunistic. We have to take a variety of things into account. For example last quarter we had a variety of other matters going on where we refinanced our exchangeable notes. We early settled our warrants. And we are also able to buy back 65,000 shares while doing that. We don’t have those other matters in front of us right now. Although it clearly gets down to, is it accretive to value, and that’s very important to us and to our owners.
John Daniels – Simmons & Company: Fair enough, okay. We should read the fact that it’s not necessarily that stock has to drop $10, $20 or whatever.
Richard Bergmark: No, no. I think the point we’re making is it’s not a regular schedule, everyday there is a program that we outsource to someone to buy back shares for us.
John Daniels – Simmons & Company: Perfect. Thanks guys.
Operator: At this time there are no further questions.
David Demshur: Okay, then we are going to wrap it up. In summary, Core’s operations posted another solid year. We have never been better operationally or technologically positioned to help our clients, expand our existing production base. We remain uniquely focused on one of the most technically advanced reservoir optimization company in the oil field service sector. This positions Core well for the challenges that lie ahead in 2012. For 2012 we continue to be encouraged by recent activity trends in international and especially deepwater activities and the growing activity levels in the deepwater Gulf of Mexico, and remain confident in the activity levels associated with unconventional oil plays. The company remains committed to industry leading levels of free cash flow generation, returns on invested capital with all excess capital being returned to our shareholder. So in closing we would like to thank all of our shareholders and the analysts that follow Core. As already noted by Monty Davis, the executive management and the board of Core Laboratories get a special thanks to our 5000 worldwide employees that have made these 2011 and past results possible. We are proud to be associated with our continuing achievements. So thanks for spending your morning with us and we look forward to our next update. Goodbye for now.
Operator: This does conclude today’s conference call. You may now disconnect.